Executives: Timothy E. Hall - Chief Financial Officer, Principal Accounting Officer, Vice President of Finance, Treasurer and Secretary Karel K. Czanderna - Chief Executive Officer, President and Director
Operator: Welcome to the Flexsteel Industries, Inc. Second Quarter Fiscal Year 2013 Operating Results Conference Call. At this time, I will turn the call over to Mr. Tim Hall, Flexsteel's Senior Vice President of Finance and Chief Financial Officer.
Timothy E. Hall: Thank you, Ryan. And good morning, and welcome to our conference call for the second quarter ended for fiscal year 2013. We appreciate your participation. Joining me this morning is Ms. Karel Czanderna, our President and Chief Executive Officer. We may make forward-looking statements during this call. While these statements reflect our best judgment at the present time, they are subject to risks and uncertainties as we described in our SEC filings. Accordingly, our actual results may differ materially from our current expectations. We undertake no obligations to update any forward-looking statement made during this call. I would now highlight some items from our second quarter press release. Net sales for the 6-month period ended December 31, 2012, were $185.8 million, 12% higher than the prior-year period. Our residential net sales increased 15% to $148.9 million, an increase of nearly $20 million from the prior-year period. Commercial net sales were $37 million, basically flat with the prior-year 6-month period. Net income for the first half of fiscal year 2013 was $5.8 million, 3.1% of net sales or $0.80 per share. The prior year's 6-month net income, the previous high, was $5.3 million, 3.2% of net sales or $0.76 per share. Our balance sheet remains strong. Working capital is $105 million and we have no bank borrowings. Our cash decreased by $5.8 million during the first 6 months of fiscal year 2013. We put it to good use, paying a third dividend prior to December 31, avoiding potential tax increases for our shareholders. We increased our inventory by $5 million to support residential sales volume, including expanded product offerings. We believe our cash balance of $8 million is sufficient and that borrowings will not be necessary during the second half of our fiscal year. Our core strategy includes offering a wide range of quality products to the markets that we serve, combined with a conservative approach to business. To ensure that we continue to meet this core strategy, during the first 6 months of fiscal 2013, we've invested $5 million in capital assets. We expect fiscal year 2013 to total $6 million for capital expenditures. $2.4 million, during the first 6 months, completed the cash investment in our headquarters' building. With that, I'll turn the call over to Karel for her comments and business review. Karel?
Karel K. Czanderna: Well, good morning. Thanks, Tim, and thank you for joining our conference call today. Our first half net income increased 9% from the same period a year ago compared to 21% in just the first quarter of 2013. Excluding the special item, the second quarter net income grew 14% versus the second quarter of 2012. This is our fourth year in a row of increasing first half earnings. The growth in earnings largely resulted from continuing double-digit revenue growth due to shipments of residential upholstered seating and Home Styles' Ready-to-Assemble products. On the sales side, upholstered products continued to outperform case goods. We are benefiting from expanded customer bases in the residential market, as well as growth from new and existing products with current customers. We are pleased to see purchasing trends in the RV and marine industries shifting to slow growth. We remain ready to serve all our commercial customers. I just returned from the Las Vegas Furniture Market, where attendance seemed higher than last year. We appreciated solid traffic from our retailers to test drive our new products and meet with our sales teams from across the U.S. A market for an even broader range of product types and price points from Flexsteel was evident. The wide variety of fabric introductions we launched at the October High Point, North Carolina Market are meeting designers' desires to provide custom upholstered products in today's fashions, colors and premium finishes. We have successfully expanded our lines in Ready-to-Assemble outdoor dining and seating and home-office products. Our corporate backlog of orders is holding strong and steady at $38.8 million on December 31. January 2013 orders continued strong as we entered our third fiscal quarter. Our team remains focused on providing a broad portfolio of quality products with knowledgeable customer service to enable our customers to grow across all the markets we serve. Ryan, at this time, please open the phone lines for questions, then I'll wrap up.
Operator: [Operator Instructions] And we have no questions on the line.
Karel K. Czanderna: Thank you for participating in our conference call today. We've had a solid first half for our fiscal year 2013. Our team remains focused on creating value for our customers and our shareholders. We look forward to reviewing our third quarter operating results with you in April 2013. We appreciate your interest in Flexsteel. Have a good day.
Operator: This concludes today's conference call. You may now disconnect.